Jim Byers: Thank you, operator. Good afternoon and thank you for joining us today to discuss Aehr Test Systems' fiscal 2015 first quarter financial results. By now you should have received a copy of today's press release. If not, you may call the office of MKR Group Investor Relations for Aehr Test at 323-468-2300 and we'll get one to you right away. With us today from Aehr Test Systems are Gayn Erickson, President and Chief Executive Officer and Gary Larson, Vice President of Finance and Chief Financial Officer. Management will review the company's operating performance for the quarter before opening the call to your questions. Before turning the call over to management, I would like to make a few comments about forward-looking statements. We will be making forward-looking statements today that are based on current information and estimates and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Factors that may cause results to differ materially from those in the forward-looking statements are discussed in our most recent periodic and current reports filed with the SEC. These forward-looking statements, including guidance provided during today's call are only valid as of this date and Aehr Test Systems undertakes no obligation to update the forward-looking statements. Now with that said, I'd like to introduce Gayn Erickson, Chief Executive Officer.
Gayn Erickson: Thank you, Jim and good afternoon to those joining us on the conference call and also listening in online. Gary will go over our first quarter fiscal year 2015 financial results in a few minutes, but I want to start -- first start by discussing our overall business and product highlights. As we discussed on our last earnings call, we anticipated and experienced a softer quarter in fiscal Q1, with revenues seasonally down similar to the year ago quarter. Revenue for the first quarter was $3.6 million compared to $3.8 million in the same quarter last year and we reported non-GAAP net loss for the first quarter was approximately $700,000 or $0.06 per share. While last year we had major expense reductions in place, this quarter our expenses were higher by approximately $600,000, as we've increased expenses in R&D, manufacturing, sales and application resources for the development and sales activities associated with our new FOX product. In addition, unlike our first fiscal quarter of last year, we did not have any system sales with a significant amount of previously written down material during the quarter. We continue to build momentum for our two key new products under development that are focused on wafer level test, cycling and burn-in. These include the FOX-1P, our next generation single wafer test system that is a follow-on product to our FOX-1 test system in production today and the FOX-XP, our next generation multiple wafer test and burn-in solution that is the follow-on product to our FOX-15 multi-wafer test system that is also in production today. We're excited about the emerge -- substantial emerging test market opportunities we've validated for these products and we believe that they will significantly expand our served available market in calendar 2015 and beyond. As we discussed last quarter, one of the key emerging markets that we believe will be a substantial market for our new FOX-1P is for automotive devices such as microcontrollers, safety and mission-critical components that are currently tested today as packaged parts for extended early failure rate or burn-in testing. There is a value and demand for moving these extended tests from packaged part test to wafer level and we believe our new FOX-1P solution is very well positioned to meet this demand. Our FOX-1P features are massively parallel testing and phase, which we believe will provide more test resources than any other automated test equipment system in the market. For example, the FOX-1P is capable of testing over a 1,000 microcontrollers in a single touchdown, which is a significant differentiator to competitors that cannot deliver the power, number of test resources or handle the full wafer (inaudible) necessary for this application. We see this system as highly differentiated from competitive alternatives for flash wafer test and also for embedded memories and microcontroller test, particularly in automotive applications. The number of resources we're able to provide with our system is critical to cost effectively moving along test times associated with burn-in and cycling from packaged part to wafer level. We estimate the market for test systems with this capability will add more than $50 million annually to our served available market beginning as early as calendar 2015. We'll be introducing our FOX-1P at the International Test Conference held this year in Seattle this month, October 21, I guess next month. We believe this is the ideal forum to make this introduction as ITC has long been this key semiconductor test conference for customers world-wide that focused on key technologies and challenges and design for test, test ability and built-in tough test functions. Our new FOX-1P in very well positioned to address these test methodology challenges. Building on our current FOX-15 multi-wafer test and burn-in solution experience, our next generation FOX-XP adds the test capabilities of our new FOX-1P to a multi-wafer test platform to allow us to serve new markets such as the significant emerging market for flash wafer level test and cycling. We continue to be excited about the prospects for this new multi-wafer test system and are seeing increasing levels of interest in the FOX-XP, particularly for test, cycling and burn-in applications for high density memory devices including those targeted for high density solid state drives. With the assistance of independent semiconductor research analyst firm VOSI Research, we've been able to validate that there is an emerging demand for cost effective solution to do wafer level testing and cycling of flash memories that are destined for applications driving multiple die in a single package. As we've discussed, their application such as solid state drives or SSDs where there is a real push for a large number of die within a single package, these packages are needed in order to cost effectively address the demand for high density SSDs such as those greater than one terabyte. Cost effective, highly reliable SSDs are key catalyst to the growth of the SSD market, particularly in enterprise application such as massive data centers. While today this market is being served primarily with sub terabyte drives, SSDs with four, eight and 16 terabyte capacity are projected to become available over the next few years. In order to ensure quality and reliability of these devices, there is not only extensive testing of the SSD drive itself, but also extended testing of the flash ICs that go into these drives to confirm the reliability. It is just not cost effective to use today's available semiconductor ATE systems for testing these devices in wafer form for the long test times required for this application. The additional cost of testing using test systems available today exceeds the cost of the significant yield loss of package. We feel the yield loss of large die stacks such as eight die or more in a package is prohibiting companies from supplying ultra low cost -- low cost or ultra high density flash memory packages comprised of eight, 12 or 16 die stacks. The FOX-XP will be capable of functionally testing these flash memories at wafer form before they are assembled into multi die stack packages. We're able to cost effectively do this through a unique wafer level test and burn-in solution that can test up to 25 wafers per system at a time. The stack die manufacturer can save significant manufacturing cost due to substantial yield improvements of a stack die package. By moving the cycling/burn-in test from package level to wafer level, we expect our customers to be able to provide cost effective stack die at eight die or more and enable cost effective high yield in 16 die stacks and beyond. We see this as a key enabler to the long-term growth of the SSD market for higher capacity drives. The market for test equipment and consumables for this emerging flash market is estimated to be $200 million to $300 million annually starting in calendar years 2015 or 2016 and we're targeting our new FOX-XP with our proprietary wafer pack contactors directly at this market. We believe there are currently no available competitive solutions in the market comparable to our FOX-XP, which delivers a multi wafer solution of up to 25 wafers tested in parallel in a single system. We also believe we have a very low cost solution and roadmap for full wafer contactors for our FOX-XP [test] (ph). As I know we'll get questions in the Q&A section on orders and deliveries of these new systems, I would like to cover that topic directly here. We continue to expect shipments of our first FOX-1P system within the next several months. As I mentioned, we will formally introduce this system at International Test Conference in Seattle on October 21. We've timed our Annual Shareholders Meeting to coincide with this introduction on our October 21, here at our headquarters in Freemont, California. In addition to our shareholding voting and company presentation, we'll be doing a facility tour where shareholders can see our new FOX-1P system in a production configuration. We'll also be showing our manufacturing facility with our ABTSP systems on the floor as well as highlight some facility improvements we're making in preparation for the new FOX products roll out. For our FOX-XP multiple wafer test of flash devices, we currently believe that we will receive an order/commitment from one or more of these customers within the next few months. We're expecting the first shipments of the FOX-XP in the second half of calendar 2015. I am personally very excited about this level of customer interest and the opportunities that Aehr Test has for these new products. The new FOX products really have the opportunity to set a new standard for how production, reliability, cycling and burn-in testing can be done for high volume manufacturing for semiconductor devices. Having said that, we anticipate that we could see as many as one or two additional soft quarters as we roll out these new FOX products. However, we do see our install base for both our current ABTS package part and FOX wafer level test systems at or new maximum capacity. This is a positive sign as increased capacity needs could drive upgrades and new system orders and revenue. We believe having material and systems available with short lead times is prudent to be able to meet short-term demand from our customers and to allow us to ship systems quickly against purchase orders received in the same quarter. Gary, our CFO will now review the quarter's numbers before we open up the lines for questions, but I would like to conclude by saying we continue to be very optimistic about Aehr Test's ability to grow our revenue and profitability from our packaged part test business with our ABTS platform and particularly as we add the significant new market opportunities available with the introduction of our new FOX-1P and FOX-XP wafer level test products. Gary?
Gary Larson: Thank you, Gayn. As we reported in today’s press release, our net sales in the first quarter of fiscal 2015 were approximately $3.6 million, down 34% sequentially from $5.4 million in the fourth quarter of fiscal 2014 and down 5% year-over-year from $3.8 million in the first quarter of the previous year. Non-GAAP net loss for the first quarter of fiscal 2015 was $710,000 or $0.06 per diluted share, compared to non-GAAP net income of $443,000 or $0.04 per diluted share in the preceding quarter and the non-GAAP net loss of $23,000 or $0.00 per diluted share in the first quarter of the previous year. On a GAAP basis, net loss for the first quarter was $907,000 or $0.08 per diluted share. This compares to GAAP net income of $239,000 or $0.02 per diluted share in the prior quarter and a GAAP net loss of $166,000 or $0.02 per diluted share in the first quarter of the previous year. Gross profit in the first quarter was $1.6 million or 45% of net sales. This compares to gross profit of $2.9 million or 54% of net sales in the preceding fourth quarter and gross profit of $1.9 million or 52% of net sales in the first quarter of the previous year. Gross margin in this latest quarter was lower than the preceding quarter because labor and overhead spending increased, while the net sales amount was lower. The prior year first quarter included shipments that incorporated more previously written down material than this latest quarter. Operating expenses of $2.6 million for the quarter were down slightly compared to $2.7 million in the previous quarter and up from $2.1 million in the first quarter of the previous year. SG&A was $1.6 million compared to $1.7 million in the preceding fourth quarter and $1.4 million in the prior year quarter, pending increase from the prior quarter due to restoration of previously reduced pay and -- previously reduced pay and sales activities associated with our new FOX products. R&D expenses were approximately $1.0 million for the quarter, about flat with approximately $1.0 million in the prior quarter and up from approximately $680,000 in the prior year quarter, pending increase from their prior year quarter due to development activities related to our new FOX products and also the restoration of previously reduced pay. As stated previously, R&D spending can fluctuate from quarter-to-quarter depending on the development of our new products. Turning to the balance sheet and changes during the first quarter, our cash and cash equivalents were $2.1 million at August 31, 2014, up from $1.8 million at the end of the preceding fourth quarter. Net cash or cash less the line of credit of $1.1 million was up from $1.0 million with the prior quarter end. Account receivables at quarter end was $2.1 million, down from $3.4 million for the preceding quarter. Our inventories increased sequentially by approximately $0.2 million. Accounts payable decreased by $0.3 million from the prior quarter end. This concludes our prepared remarks and we’re now ready to take your questions. Operator, please go ahead.
Operator: Thank you. (Operator Instructions) We’ll take our first question from Colin Denman from Westerly Capital.
Colin Denman - Westerly Capital Management: Hi Gayn and Gary. Thanks a lot for taking my question. So first of all I wanted to talk about, in the press release you said that you have orders for engineering and production versions of the FOX-1P and I was wondering can you say how many customers you currently have orders from?
Gayn Erickson: Hey Colin, thanks for asking. We've been and deliberately not talking about numbers or quantities at this time, nor have we even given details around ASPs, a lot of that having to do with not wanting to identify who our lead customers are and signal pricing, so we have not.
Colin Denman - Westerly Capital Management: And then when I think about the commentary -- the commentary you made around potential for one or two more soft quarters before these new products before they start to ramp and how should I compare that with the comments that shipments for the FOX-1P could start in the next several months. Shall I be thinking in your commentary around softness meaning kind of this mid $3 million level of the base business or how would the initial shipments of FOX-1P layer in there.
Gayn Erickson: Sure Colin. Let me take a stab at that. So what I want to try and balance here is the -- if you will, not necessarily, lack of visibility, but the uncertainty of what the outcomes could be, but I think it's a conservative stance just try and set expectations that we could see a couple more soft quarters. At the same time, I am sitting at a significant amount of inventory of both full systems and material that's available for short lead times and I think you even talked about this last quarter where there is kind of a double edge sword with that. The good side we have the ability to ship very quickly against orders. On the down side, you don't have the visibility if you said you had a six to 12 month -- six or nine month lead time. So I have significant opportunity to ship within -- our turns business within the quarter and so the reality is there are still a lot of dynamic range within what our quarters could look like just from what I recall base business. This is currently installed base customers or ABTS and FOX products and wafer packs. Add to that, kind of the timing of not only the FOX shipments, but revenue recognition of the lead customers. As you know, we do have rev-rec requirements with respect to acceptance of the first systems and then as a policy our follow-on systems basically have revenue recognition as they ship and so we're trying to get our arms exactly around that. At the same time, we're trying not to -- and actually we don't focus on that, but we want to make sure that we're A, focusing on our current ABTS customers. They're really important customers with some really important projects. They're all right now at maximum capacity, both the engineering and production accounts and we want to be able to serve their needs. But also with respect to our FOX products, a big or primary focus of the R&D organization and the whole company is trying to accelerate and get these new FOX products out because we have customers for both -- a customer requires to pull in as soon as we can both FOX-1s and XPs at this time.
Colin Denman - Westerly Capital Management: Right. Okay. So with something like a FOX-1P or just any of your products in general, is there any way for us to think about an average amount of time it takes to recognize revenue on an initial shipment just like a few month long process for shipment…
Gayn Erickson: Yes, I think that -- we've got details scheduled with customers about how long it takes for them to get it first in for them to be able to roll it into production and a pretty typical number is within say three months.
Colin Denman - Westerly Capital Management: Okay. And then the FOX-P sounds -- or a FOX-XP sounds like a really exciting product with the big TAM, I am just curious on the order/commitment, do you expect to see kind of in the next few months I am assuming that something you'll probably be able to press release, is that correct.
Gayn Erickson: Yes, that would be our expectation. I think that would be considered material by everybody's opinion.
Colin Denman - Westerly Capital Management: Yes, of course. And then maybe you can just help me understand a little bit what the dynamics are in terms of the sales cycle of selling a FOX-XP to a lead customer. I know that you’ve probably in conversations with them previously and then the kind of next step is the order and commitment and it sounds like you're setting expectations for first shipments not until second half of '15. So talk about me to kind of like nine month window between now and when you expect first shipments kind of what's -- what are things that could either pull that forward or push that out? And then is this just the level set of expectations we would be expecting and like very first small volume engineering orders to start shipping in the first half of '15 or is it something where they're already evaluating the product and you could go right to more of a production type order.
Gayn Erickson: All right. I'll actually take a moment for [to make] (ph) sure I get this. I am writing down bullets of the kind of a sales cycle why or what about nine months and then what maybe a ramp looks like, is that okay did I over simplify that.
Colin Denman - Westerly Capital Management: No, that's fine.
Gayn Erickson: And you are going to cover everybody else's questions, so it will seem lonely after this. Okay, let me try on the sales cycle. These -- one thing of note is that today with our ABTS products, we have a mixture of production and engineering customers. In engineering -- in production, which is simplest, they will test their devices for so much time and say production burn-in for so many hours and they'll ship it and it shows up in your automobile and your dashboard right. In engineering, we'll do applications. What we're proving that the device will last for a 1,000 hours okay and when that device lasts for 1,000 hours, it's pretty much throughput. It's proven it could last, but you don't ship it to your customer at that point. In engineering and applications, customers tend to have a few of these and everybody, every customer has them. In production it scales with volume per capacity and so an engineering customer might have a few and my production customers might have tens or hundreds of systems all right.
Colin Denman - Westerly Capital Management: Yes.
Gayn Erickson: In the FOX products, all of our FOX-1 and FOX-XP customers, FOX-1P and XP customers, they're all production accounts. What I want to talk about that is a production sale in the semiconductor ATE space is a longer sale process. It is very typical for it to be a minimum of six months and can sometimes last over a year or more in the sales cycle and so for example in the -- in case, I got to be careful of numbers, in the multiple customers I am engaged with, with the XP today, each of those we've been engaged with now for at least a year. And so the sales cycle feels about right. We would expect them to be at a stage of being in decision making and doing ROIs etcetera at this point. Now, what is the schedule with respect to nine months? As we've said before we had already the FOX-XP core technology of the electronics and software is directly leveraged from our FOX-1P and the FOX-1P has our first customers, our first orders and we'll ship it first. And then we said, we would probably take about two to three quarters before the XP would come out. All of those schedules are firming up now. So that's really very consistent with what we said all along. It just seems like okay, second half of the next year at nine months to a year, way seems as a long time.
Colin Denman - Westerly Capital Management: No, that's great.
Gayn Erickson: …three years of timeline. So a customer that would make a commitment, we would be making whatever slight modifications are needed to specifically for their needs and be able to ship them basically as standard FOX-XP product in that timeline. Now what does a ramp look like? My experience in semiconductor production ATE test, is that the customers along that time were building up a first production system will be of developing engineering prototypes, will be doing SAS programs. We'll be doing a lot of things to in parallel with the development of the final production system. Then we need to prove out the production system. So they would take one whole test cell. Release it into production. Do correlation and ship products off of it. Then it can be slow or a step function. In my experience HP, Agilent and Verigy, I've seen customers see the first production system and buy 40 systems immediately and I've seen them do one a time, one a time on a quarterly basis. These systems particularly the XP have a significant amount of capacity out of them. So we weren’t expecting 40 system rubbers, but we were ensuring that we have the manufacturing capacity here to be able to ship multiple systems to a customer per quarter if needed and I alluded to, we're doing some changes to our facility here to be able to facilitate that as needed.
Colin Denman - Westerly Capital Management: I really appreciate that. I'll let others ask questions. Thanks a lot.
Gayn Erickson: Okay. Thank you, Colin.
Operator: (Operator Instructions) We'll go next to Tom Diffely from D.A. Davidson.
Tom Diffely - D.A. Davidson: Yes, good afternoon. I guess Colin left me a few questions. So I guess first for Gary what was the cash burn during the quarter and what are the factors you're looking at to manage your cash over the next couple of quarters when business remains soft and I am kind of curious what type of inventory build for the new systems you might have to add?
Gary Larson: As far as cash burn, we actually generated cash. Our net cash went from $1 million in the prior quarter to $1.1 million this quarter. So that was favorable for us. As far as cash management, you know we always run a tight ship here, but we do have a number of opportunities to get cash when we need it. We've got a $2.5 million line with Silicon Valley Bank. As Gayn mentioned, we've got some inventory both systems and major sub assemblies that are available. So that if a customer comes in and orders quickly, we would both be able to ship quickly and obviously collect on that quickly. The new program that Gayn put into place when he joined of requesting down payments for our customers has been successful. So we get significant down payments along with the order and also if push came to shove and we were threatened with large orders, we've already had some discussion with our bank. We believe it would be possible to increase our line of credit as necessary to support any significant orders that were coming in. So we do see a reasonable comfort level even though we don't have all the cash reserves that we would like to at any point in time.
Tom Diffely - D.A. Davidson: Okay. That sounds good. So what drove the cash generation in the quarter? Was it collections?
Gary Larson: Yes, it was receivables going down.
Tom Diffely - D.A. Davidson: Okay. All right. And then Gayn, looking at your two kind of future markets here, the $50 million and the $200 million-$300 million markets, are those the size of the markets when your tools are in there or is that the size of the market that you're replacing with your tools, because I assume that you're a little more effective than your competitors if they really are competitors and that you really bring down the size of the market.
Gayn Erickson: Well, that's -- those are really good questions and I know that people say that a lot. It's a little -- they are different and we actually -- we talk about three different new emerging markets although today I only talked about two of them. If I get a chance, I'll to the third as well, but let's talk about the two, the $50 million and the $200 million to $300 million. The $50 million one, today we believe is customers are spending that money today in wafers and/or packaged part burn-in on an annual basis, but they do that in two steps. They are billed by ATE systems for wafer level microcontrollers for automotive and they buy it in package part burn-in systems. We believe those dollars can move to wafer level test and burn-in and so the dollars -- it's not necessarily lower dollar amount, it is just a shift to the front end, which has several quality and process depth minimization steps. So from a TAM perspective, people are already spending that money. They would just hopefully be spending it with us or on tools like this. And I say that kind of broadly because right now, we believe we're unique and being able to provide a solution that can do that type of parallelism okay. So to the extent that when we introduce the FOX-1P, people are able to do that; that market is emerging with the entrants of the FOX-1P. On the $200 million to $300 million range and this is where in particular we got VOSI Research involved to make sure that they could help us with the customer feedback and turning that into real numbers because those are big numbers, is the customers today are doing package part burn-in and as they move from package part burn-in to wafer level burn-in, it creates us new opportunity. Now we sell package part burn-in systems. We think we make a great one and if you would like leave it at package part, we will be happy to sell you bunch of ABTS okay. However, in fact as we were talking to one of the many customers about our package part burn-in system, we uncovered this opportunity that if you move that testing to wafer level, you get all this yield back and the yield dollars to more of the size of the tester spend. And so in reality to do this, you spend more dollars in test. It is more expensive to test these devices at wafer level and at package part, we have that conversation, but it is significantly cheaper manufacturing cost because of the yield improvements and that's the big ah-ha. And so if someone is spending $200 million to $300 million or the market what is spend that, the yield improvements on the multi-billion dollar SSD market is in excess of that. So you pay for these tools through the yield improvements, okay and I just want to add one more thing. As soon as we talk to our customers about this, they've also asked us to extend our capability to do more testing. In that case, we're also significantly cheaper testing than traditionally available ATE platforms. So between the two of those, we can save the customers directly in what their budget would have been for ATE spend and we can save them in yield.
Tom Diffely - D.A. Davidson: Okay. So when you look at the SSD market or other flash markets, are you still going to have to do a final test in the package of burn-in in the package even though you have a higher confidence that the chips inside are better?
Gayn Erickson: The data that we have seen in the correlation efforts would imply no and the reason is in the burn-in is over stated. These are actually cycled and it's thoroughly different. The parts in itself when you cycle them so many numbers of times and we don't want to talk about that okay, they will fail and they’ve failed in a way that cannot be repaired. What's failing is inside the core, it has nothing to do with the packaging step, the assembly or the processing. There are cases where there is an argument you may want to burn-in a part because you may be testing the bonding of the packaging, but that's less and less or negligible at all and certainly not in these temperature ranges of these devices.
Tom Diffely - D.A. Davidson: Okay. Okay. That all make sense. And then when you look at the different products here, the FOX-1P engineering versus production versus the XP, how much commonality is there in the actual tools themselves or in the parts of the tools?
Gayn Erickson: We have these great slides that talk about our leverage between all of our products, but specifically on that one, we introduced in the last two years this ABTSP. We have that shipping today in production as we talked about. If you come up ever visit us, we'll always have systems out there on the floor in production on it. That ABTSP architecture uses sub-components that we've extended over into our new FOX product. That's why kind of the carryover of the FOX-P for our [core] (ph). So we already have the leverage their. Interestingly our ABTS and our FOX product share the same software and in fact it's sort of subtle. Our ABTS systems will test maybe 36 or 72 burn-in boards and we get to a 36 burn-in boards completely asynchronous from each other. And when you test the wafers, you could test them completely asynchronous from each other. They could be running all different test programs. So our FOX-XP looks like an ABTS system. It uses our ABTS chamber. It you walk out up to and the door is closed, you would have to open it to tell that it's different between them. We have mechanical parts. We share the electrical parts between the FOX-1 and the FOX-XP and the [FOX-EWS] (ph) as we call it, the engineering system is the same between the FOX-1 and the FOX-XP, FOX-1P and the FOX-XP. So this explains how we're able to leverage from arguably a very small company such an enormous product line and portfolio that can address a lot of different markets.
Tom Diffely - D.A. Davidson: Okay. That sounds good. And then finally when you look at the -- obviously the one talked about the sales, the revenue, the cost of these tools, the price of the tools, but from a margin point of view, would you expect the margins to be above corporate averages in general for the two products.
Gayn Erickson: Yes, we will.
Tom Diffely - D.A. Davidson: Okay. Good.
Gayn Erickson: That's in our corporate averages. And the ASPs of our FOX-1s -- FOX-1P and our FOX-XPs are higher to significantly higher than our ABTS products.
Tom Diffely - D.A. Davidson: Okay. Thank you.
Gayn Erickson: Thank you, Tom.
Operator: We'll take our next question from Dominik Schmidt from QVT Financial.
Dominik Schmidt - QVT Financial: Hi Gayn. Thanks for taking the question. It follows up on the question that was just asked, you had mentioned that you're doing both burn-in and test on your new devices, or they are capable of both, do you see you being able to target premium on test versus burn-in or is it kind of more of the same in both usages?
Gayn Erickson: That's a good question and thanks for the question, Dominik. So let's see here, so I don't know that everyone on the phone would know necessarily the difference between test and burn-in, but a simple way of thinking about it is when you test a part, you're testing it good from bad or how good it is and that might take seconds or minutes or tens of minutes and typical memory applications, okay. But in the cycling application, in order to cycle these devices many, many times, typical test times might be from three hours to 30 hours. They are two to three orders of magnitudes longer okay and so in our -- if we -- when we design the FOX-XP for example, we designed it to be very cost effective and in fact to ensure it's much cheaper than the yield loss or gains that it would provide. And so our FOX-XP is more in the lines of the price or the cost of what is a burn-in system like our ABTS, which is substantially lower than a typical test system. So we go in and we show a customer that we're able to do their wafer level burn-in almost as cheaply as packaged part burn-in, but to get all this yield improvement, but those burn-in systems are much cheaper than the ATE systems that are being used today for wafer level sort. So arguably they are much more valuable if they can test and they are not surprisingly each of our customers have said, hey, why you are doing the burn-in, can you add a few more test functions? And some of those functions and tracts have driven up our ASPs as we've added more capabilities and features and it's in part of our defining of it and we will have options to the XP and that will add -- have pricing options for different features that are harder for us to build or add where our software features. So our ASPs in test that we used only as test would definitely be higher per wafer than just for traditional burn-in.
Dominik Schmidt - QVT Financial: But it sounds like an upside on the margin side, if that is -- if customers really get for this usage that sounds like the rather large upside to the margin.
Gayn Erickson: It could be. We kind of focused on ensuring that we can make a solid process and generate the R&D and everything that we need to do and why I think one of the reason we have customers that are very interested in this product.
Dominik Schmidt - QVT Financial: Thanks Gayn, that's good.
Gayn Erickson: Thanks Dominik.
Operator: (Operator Instructions) We'll go next Jeffrey Scott from Scott Asset Management.
Jeffrey Scott - Scott Asset Management: Good afternoon, guys.
Gayn Erickson: Hi Jeff.
Jeffrey Scott - Scott Asset Management: Quick question on 2015 total. Last year you said you would be profitable for 2014. What -- any comments for the total of 2015?
Gayn Erickson: So let me try that here Jeff. I want to make it harder on me, last time I had talked about 2015 our belief that we could I think grow or maintain our revenue and breakeven as well. We're looking at that again right now and I think the over under continues to be exactly the shipment of the new products and how these next couple of quarters shape up. We're still very optimistic. We're focusing on the right things. We have the manufacturing capacity and are just watching our customer orders and shipments of this. One of the keys ends up being in either any of these scenarios is we do believe that as we ship the -- start seeing volume productions of the FOX-1 and particularly XP's, it has a bit of a step function to it. So we're still very optimistic. I am not necessarily reiterating guidance, but I also just -- I think we're focused on the right thing to get these products out.
Jeffrey Scott - Scott Asset Management: Okay. Fair enough. The first two shipments of the FOX-1P will go the development customer correct?
Gayn Erickson: I will say that our first -- right now our plan is our first engineering and our first production system will go the same customer and since they're usually listening they would really mad if I said anything else. So…
Jeffrey Scott - Scott Asset Management: Okay. My real question is how broad is the market for the 1P? If you take out your development customer, is it your expectation that you'll sell 1P's over the next couple of years to an additional three customers, six customers, 12 customers, just how broad is that market?
Gayn Erickson: So I think we're still getting our arms around that, but it doesn’t feel like it's a 10 customer type of number though Jeff. I think that tends to be in the few to half a dozen or may be a little more, but with much deeper density if you will. No customer would take this system if they weren’t going to buy 10 test sets or more and so each of those customers, there can be a significant number to us, and so we don't need a lot of customers to make this worthwhile. And the reality of the semiconductor test business is with the consolidation in the industry there are fewer and fewer companies that are out there and if you can go penetrate 10 customers with a production ATE systems, you're doing pretty dam well.
Jeffrey Scott - Scott Asset Management: Okay. I want to try to parse one of your -- one of Colin's questions, one of your answers to him, in terms of the shipments of the XP being basically a year out, I gather from that, that there is nothing you really could do to accelerate that from 12 months down into nine months or less, is that a fair statement?
Gayn Erickson: Did my customers put you up to that Jeff? All right, let me say that to our tongue-in-cheek there is -- the reality is there is some that we can. Our focus is really because of the leverage is getting the FOX-1 key material that's out. There was a part of this which is the customer commitments that has a front-end aspect of it. Each of the customers we talk to about the XP today has some slight variations, which is not atypical in any semiconductor test base that range from applications to some small software enhancements to some maybe some small tweaks to the product line hardware. All of these are fine with us and within the platform and do not create challenges for us from a manufacturing or support perspective, but they tend to add to the development cycle. And so right now as we line up those first customers and there is a little bit of game of chicken of who buys first, has partly to do with the schedule. For example I will say if we focus simply on pure wafer level burn-in, each of the customers is simpler. As they pull us towards more and more tests, that would add sometime to the schedule and I am quite aware when each of the customers that they are aware of that and they're having those conversations. So message to customers if you can focus on the wafer level burn-in sooner if we can get the product out faster.
Jeffrey Scott - Scott Asset Management: Okay. Are those -- the SSD potential customers, are they currently evaluating the technology or are they getting into the -- evaluating the economics of it and can they do it?
Gayn Erickson: Yes I would say, I would say a little of both and it depends on the customers. There are some that are purely in the economic side of it and some that are doing both. In some cases, the economics can be done on a napkin. I'll give you one example on the moving package part to wafer level and I think people on the phone can understand that is not being done today because it's too expensive okay. Now having said that, you can do exactly what we're doing with our new FOX-XP in production today one wafer at a time. So we have customers that have done the experiment. They take the wafer. They test it for 20 hours on a production ATE system and then they can correlate that to the yield improvement at the back end. However a production ATE system might cost a $100 an hour let's say a contract manufacturing typical hourly rate. So 20 hours adds $2,000 worth of test cost to a wafer that the industry standard of 300 millimeter NAND wafer is about $1,600. So you can't get enough yield improvement to make that make sense. We're substantially lower than that. I think more than an order of magnitude okay. So we are able to bring it down to be more like the cost of a normal test insertion even for 10-hour cycling. So when they're faced with the knowledge that we know this is a good thing for yield and then we give them a quote, it's more of okay, can you do this and how fast and let's talk, so it's a pretty exciting time for us here.
Jeffrey Scott - Scott Asset Management: All right. How broad is that XP market if the FOX-1 is half a dozen, how broad is the XP?
Gayn Erickson: Probably similar.
Jeffrey Scott - Scott Asset Management: Similar?
Gayn Erickson: You could argue a few customers or even one could be substantial.
Jeffrey Scott - Scott Asset Management: Last question, in terms of the decision making at your customer, you explained eloquently before that the test was more expensive, but the total manufacturing cost was lower because of the yield. Is the decision to purchase being made by the test person where it's only the test cost or are you able to get to that the person less the total manufacturing cost…
Gayn Erickson: Yes I think it's a balance of both. Upper management can convince themselves that there is going to be this great yield improvement, but the test guys have to make it work. So it is a strategic sale that involves multiple layers of management.
Jeffrey Scott - Scott Asset Management: And you think you have that relationship depth to get that decision?
Gayn Erickson: I think in some customers more than others and some of that it takes time.
Jeffrey Scott - Scott Asset Management: Okay. I'll pass on to somebody else. Thank you.
Gayn Erickson: Thank you, Jeff.
Operator: (Operator Instructions)
Gayn Erickson: Yes, I told you Colin answered all the questions -- asked all the questions, I should say.
Operator: We'll take our next question from Marty Cawthon from ChipChat.
Gayn Erickson: Hey Marty. 
Marty Cawthon - ChipChat: Hello, hi Gary, hi Gayn. What I am interested to hear is while -- as I recall about eight to 10 years since the original FOX full wafer tester was introduced by Aehr Test and now we're introducing or you're introducing the FOX-1P and the FOX-XP and I am interested in two things, one is comparison in contrast with the FOX-1P and XP today with the original FOX and FOX-15 that were introduced roughly eight to 10 years ago. And also with the environment in which you're selling these testers today relative to back then and what motivates my question is when I first learned of the FOX-1 full wafer tester, I thought it would make a big change in a very dramatic effect on the testing world and also sales for Aehr Test and for a whole bunch of reasons, that it didn't have the spectacular success that I initially expected. And so -- I am interested to hear on how the product has changed from that time and also how the testing environment has changed from eight to 10 years ago and I realize Gayn, you're new to the company since that original introduction, but I would like to hear your thoughts anyway?
Gayn Erickson: Well I -- as you said that this is -- go down by -- I am two and half years into the company, but I have spent the last 20 years in this industry and most of those we were at places like ITC and between HP, Agilent and Verigy we would -- be looking across the hall at Aehr Test. Aehr Test has been around a very long time as well. So I've been in this space the entire time and I certainly remember intimately what's going on in the industry over this last as you said 8 years or so. And we've studied -- we're very clear what is different between the new products. So we added FOX-1P or the FOX-1 and now it's 1P and then we'll also talk a little bit about the FOX-15 and now XP. The key difference is that I think span across both of those products and the change is if the FOX-1 and the FOX-15 were architecturally similar in terms of test electronics, in some ways how they are today between the 1P and the XP, those products were leveraged from our burn-in platforms and added some very unique capabilities in terms of technology of contactors, power supplies and software to be able to enable a couple of key markets for us. However, I think as we look back on it and particular with respect to the new markets we're looking at, the big change is the new XP and 1P have significantly more tester functionality than we had in the older products. These are test systems with much more sophisticated if your partner generation Pin Electronics, I/O selectability, clocks, PMUs and other functions that make it a more general purpose test system and we understood that with the FOX-1 and the FOX-15 when they came out and we were -- started developing a new system that is much more capable. So an example of the FOX-15, which can test 15 wafers in parallel, functionally that is not capable of testing those flash wafers. It does not have enough resources or capability. So that particular system by going to the XP we've opened up a market for it. So mostly the FOX-1P and XP are more general purpose look more like an ATE system and as such have more flexibility to go after a wider range of devices, right, number one. And the other one is I think you said the environment and I am going to put that in two small categories. One is when Aehr Test introduced the FOX-1 and started to ramp, which was in '07 and '08, I was sitting the other side, I was on the ATE side and I watched the impact of what Aehr Test technology was able to do by introducing a system that was capable of doing full wafer test when our production ATE systems were took six or 10 touchdowns, or 10 times as long to test the same thing. It was devastating to that market at the time, but it was of significant value to the customers. And we were also assuming that this was going to take up substantially, but now you have to remember what we were in 2008, the world kind of imploded and there was significant contraction within the semiconductor suppliers, within the semiconductor capital equipment suppliers and kind of the greatest -- great recession of all time had an enormous impact. I think Aehr had the wisdom that during that same downturn, we started to retool to build these new products like the ABTSP and then I was able to as I came helped to focus the company taking that technology to build these more general purpose testers with the XP and the 1P. This was a much better environment where our customers are healthier, our customers are at full capacity and in 2008, 2009, customers -- our own customers were sitting with 30%, 40% excess tools and it was pretty obvious it was going to be a long haul untill we could get through that. I am across the Board, all my customers are full and they are a lot healthier than they were before and so that's encouraging. I'll do one more. The other part of the environment is we've got these new opportunities that we see with SSDs that we've been thinking about those back then where our flash memory and reliability is important that there is new capabilities, 3D memories and TSBs and technology that are driving the need for reliability or the need for what is traditional burn-in to move the wafer start that create opportunities for Aehr Test not just immediately, but over kind of the foreseeable future. And this is the first call I think I've not talked about automotive and we -- a lot of what drives our business and our customers is that automotive semiconductor devices and what we're seeing with the dashboards and the infotainment hubs and how that's changing the semiconductor market, which was consumer based to meet the reliability associated with automotive. And so this is just -- we're kind of in a good place right now in the environment, both our customers and the overall industry.
Marty Cawthon - ChipChat: Okay. Thank you very much.
Gayn Erickson: Thank you, Marty.
Gary Larson: You're welcome, Marty.
Operator: And with no further question in the queue, I would like to turn the call back over to management for any additional or closing remarks.
Gayn Erickson: All right. Well, thank you and I'll just appreciate everybody for joining in. We've covered a lot of ground here today after about a 10-15 minute intro. So lot of Q&A, I appreciate it. As always, we invite you to call in. We'll be happy to take your call or have you visit. We do our Shareholder's Meeting on the 21st. If you have a chance to come in to the Silicon Valley Bay Area, we're located nearby in Freemont and we'll be happy to have you here in attendance or if you get a chance come see us at ITC up in Seattle. Thank you very much. Bye, bye.